Ben Allanson: Good morning from Stagwell's offices in Miami, Florida. And welcome to Stagwell Inc's Earnings Webcast for Q3 2023. My name is Ben Allanson and I lead the Investor Relations function here at Stagwell. With me today are Mark Penn, Stagwell's Chairman and Chief Executive Officer, and Frank Lanuto, the Chief Financial Officer. Mark will provide a business update and Frank will share a financial review. After the prepared remarks, we will open the floor for Q&A. You're welcome to submit questions through the chat function. Before we begin, I'd like to remind you that the following remarks include forward-looking statements and non-GAAP financial data. Forward-looking statements about the company, including those related to earnings guidance, are subject to uncertainties and risk factors addressed in our earnings release, slide presentation and the company's SEC filings. Please refer to our website, stagwellglobal.com/investors, for an investor presentation and additional resources. This morning's press release and slide deck provide definitions, explanations and reconciliations of non-GAAP financial data. And with that, I'd like to turn the call over to our Chairman and CEO, Mark Penn.
Mark Penn: Thank you, Ben. And thank you, everyone, joining us for our earnings call. Our company is emerging from a more challenging economic environment this year stronger and more nimble than ever and poised to return to growth. This quarter demonstrates that we have our costs under control as we invest in expanding our digital and global footprint.  2023 threw a number of curveballs at US – tech companies that engaged in mass firings and cutbacks, which adversely affected our digital transformation business; a banking crisis that knocked out the First Republic Bank, a significant client; a B2B recession as clients held back marketing and digital projects, fearing a recession that was always around the corner; rising interest rates; an auto strike that froze auto marketing; and a writers' strike in Hollywood that downed our entertainment research business.  Throughout this, we stayed on our mission, bringing costs in line, installing central data and information systems, expanding our presence and footprint in the industry, winning new business, and now just about all of those negative factors are in retreat, and we've returned to earning over $100 million of EBITDA a quarter, even in a low point of the political cycle.  As we head into the end of the year, we believe we've reached a key inflection point for our business, and we expect to return to modest net growth, excluding advocacy in the fourth quarter and stronger growth in Q1 2024. We've already returned to growth in most areas of the business.  2024 offers a significant number of tailwinds that allow me to call the bottom here. First and foremost, we will have trimmed our costs to be well positioned to hold and expand our target 20% plus margin next year. Tech companies are coming back and starting to spend again. AI offers a whole new class of digital transformation work. We have the engineers to implement. Fear of recession seems to be easing in favor of a soft landing. The political season will be a record one. The strikes are all ending. And digital spending, ad spending is expected to grow.  Since our last earnings call, we've made significant progress to manage our costs and to advance our long term strategy. Cut a further $34 million of annualized costs from the business as we right-size our staffing cost structure as we look ahead to 2024 and announced a divestiture of ConcentricLife to Accenture for $245 million in cash.  We also accelerated digital services through acquisitions, including Left Field Labs, a cutting edge digital transformation company, leveraging AI and AR to create truly innovative digital customer experiences, and Movers + Shakers, a disruptive creative agency renowned for its social and emerging platform capabilities.  Turning to our results, Stagwell posted third quarter net revenue of $535 million, down 3.8% from the prior year. We saw continued momentum in the Performance Media and the Stagwell Marketing Cloud was both posting double-digit net revenue growth year-over-year. And we returned to positive net revenue growth in our creativity and communications capability this quarter. Strong performance in these businesses was offset by challenges in 2 and consumer insights, particularly our entertainment research firm.  Perhaps most importantly, we continue to deliver strong net new business, capturing more than $81 million in the third quarter, maintaining our strong momentum from the second. Our net new business figure of $155 million is a company record for back to back quarters. Clients leaving us is down to a record low of $7 million. So our client base is expanding, setting us up well for an economic recovery.  The orientation of our business towards our largest, most impactful relationships continued in the third quarter. Our top 100 customers grew 18% year-over-year, with three customers exceeding $15 million of annual spend in the last 12 months.  International also continues to be a real bright spot for our business as net revenue grew overall 25% in the third quarter. Organic net revenue from our international business was 15%, led by outsized growth of 14% in Asia and 16% in EMEA. This performance speaks to the benefit of continuing to diversify our business internationally, a core tenet of our overall growth strategy.  In the last few weeks, we've added to our affiliate network, partnering with Markus Agency in Vietnam and Clarita in Brazil, allowing us to expand our reach in these regions.  We also, earlier this year, acquired Huskies, an Irish digital agency, and are exploring further acquisitions that will expand our reach in Latin America, Europe and the Mid-East.  Our adjusted EBITDA came in at $102 million or more than $10 million sequential improvement over the second quarter and representing a margin of 19%, a 210 basis point improvement over the second quarter and a 520 basis point improvement since Q1. This is a direct result of the actions we've taken to right-size our staffing levels, steps that have led to an $82 million annualized reduction in staffing costs. Our staff costs as a percentage of net revenue currently stand at 63.4%, a 360 basis point improvement since the end of the first quarter.  As we've trimmed our costs, we have continued to invest in key growth areas. The Stagwell Marketing Cloud is one such area and our EBIT DA would be higher if not for the $8 million OpEx investment we made in the area during the quarter. We posted $0.18 of adjusted earnings per share during the quarter, a 13% improvement sequentially.  Stagwell now expects to generate $390 million to $410 million of adjusted EBITDA in 2023. This should translate into about $0.73 to $0.78 of adjusted EPS. We expect overall organic net revenue growth to be about negative 4% excluding advocacy. Organic net revenue growth is expected to be about negative 2.5%. Given the litany of event occurring this year, this temporary retrenchment is a testament to the resilience of the business and its ability to meet its long term growth targets.  Our agencies continue to be recognized for their market transforming work. Just last month, Colle McVoy was recognized as the Midsized Agency of the Year, and GALE, our business consultancy, crowned the number one fastest growing large agency, both by Adweek.  Additionally, Code and Theory, our leading digital transformation agency won a highly coveted Fast Company innovation by Design Award for its brand and technical work, for Getty.  If 2023 has been a year of efficiency for the tech companies, we believe that 2024 will be a year of competition for them. The last few years have seen the biggest tech companies move from their previously defined areas of strength to compete directly against each other in areas like the cloud enterprise, productivity products, hardware and AI, which has brought another area of competition which these companies will have to address. We believe this will lead to a significant increase in digital transformation spending.  Our expertise in delivering AI-enabled marketing and enterprise transformation positions us extremely well to capitalize on this long term talent. We've already done award winning work with generative AI and audience development at Code and Theory for Tipico, a European sports betting giant, and are also helping the publisher, Ringier, build the newsroom of the future with AI. Additionally, we've recently signed a large office retailer into our enterprise AI solution in the Stagwell Marketing Cloud called the PrivateGPT.  The strikes in Hollywood, which affected our consumer insights and strategy capability, dragging it down 9% in the third quarter, are almost over and we expect this business to return to normal levels by Q4 and next year.  Digital transformation excluding advocacy was down 17% in the third quarter, but all signs point to a return to both sequential and year-over-year net revenue growth in the fourth quarter.  We continue to examine our portfolio and the best ways to deploy capital. Yesterday, we announced the closing of a transaction to sell ConcentricLife, a prescription drug marketing agency, to Accenture. Stagwell has an amazing track record of acquiring businesses and driving meaningful improvement in revenue and profitability. This fact was reflected in the $245 million selling price, which represented a 4x to 5x return on our initial investment in the business.  In the transactions we've completed or expect to complete this year, we will replace by year's end all of the divested revenue and EBITDA for a cash outlay of less than a fifth of that sales price, giving us the ability to use the additional capital to accelerate growth over the next few years, while prudently managing our balance sheet and deploying targeted share repurchases against the $155 million remaining in our authorized buyback.  We've developed not only one of the world's top tech infused marketing services companies, but we have also created a great platform for acquisition and growth of such firms. The double-digit EBITDA ratio of this asset, which no analyst in my recollection in over 50 such meetings even asked about, is representative of the value of many of our portfolio companies, totaling billions of dollars, which should command an even higher value when brought together at scale as we do at Stagwell.  Our goal is to fine tune our portfolio by paring back on non-core assets and investing in AI and global expansion to get to scale in all of our services. There's one other non-core asset which we're actively exploring divesting at this time, which we expect will yield the transaction about half the size of ConcentricLife by the end of the year.  Additionally, on the M&A front, we recently announced the acquisition of Left Field Labs, which will form a critical part of our strategy to lead the AI transformation of marketing. Left Field has built a track record of designing experiences and products never imagined before and adds end-to-end services encompassing strategic innovation, user experience design, adept prototyping, and cutting edge technological engineering.  We have also acquired Movers + Shakers, crowned by Adweek as the world's best agency on TikTok. Movers joins to supercharge our ability to connect brands to culture and resonate with Gen Z and Millennial consumers. They boast particular strength in mainstream social and emerging digital platforms, which will be complementary to the Constellation network.  The Steigerwald Marketing Cloud remains a major investment focus for us. This is the second quarter we've broken out financials for the business unit and the first time that we've reported it as a standalone capability. For the third quarter, we reported SMC revenue growth of 20% year-over-year with an annualized run rate of just under $200 million.  We're staying ahead of the AI transformation of marketing with product innovation and partnerships. Senior leaders from across our digital shops and creative firms are collaborating to devise a Stagwell level service offering on AI we'll begin to pitch to clients next year. In the meantime, SMC is forging ahead with AI advancements.  We've added AI powered influencer marketing and media monitoring to profit and launched Harris Quest, an integrated suite of self-service AI-enabled research tools for modern marketers. We also expect to announce shortly a partnership with a major cloud provider that will offer a marketing development boost to our cloud products.  Finally, we continue to explore options to augment our media studio within SMC including working with or acquiring a DSP as we identify ways to compete for a wide range of large and small clients for programmatic media.  As 2023 draws to a close, I wanted to reiterate our confidence that the top line challenges that have pressured our business this year are beginning to abate. We expect to see a return to net revenue growth excluding advocacy in the fourth quarter, as customers and the technology and media sectors begin to resume their activities and as customers start to refocus on digital transformation.  2024 promises to be a big year for Stagwell, driven by the spending turnaround among tech customers and on digital transformation, as well as tailwinds from what we expect to be a record breaking political cycle and continued growth in our Marketing Cloud products.  As I said last quarter, with growing large company relationships, strong new business momentum, a commitment to managing costs and investment in leading tech products, Stagwell remains strongly positioned to benefit from the long term growth in digital marketing, and in particular, the next revolution of AI based digital transformation in the space.  Now, I'd like to hand it over to Frank Lanuto, our Chief Financial Officer, to walk you through some of our financial results in more detail.
Frank Lanuto : Thank you, Mark. Good morning, everyone. And thank you for joining us to discuss our third quarter results. As a reminder, if you would like to ask a question after the prepared remarks conclude, please feel free to submit them through the chat function.  In Q3, we continued to make progress improving our operating performance across the business. Revenues were stronger in international markets, as well as our media and data and creative and communications capabilities, which returned to growth despite the ongoing headwinds in the US, our largest market.  We also continued to improve operating efficiency and margins with further cost savings in compensation, real estate and a consolidation of back office operations. As a result, reported revenue for Q3 was $680 million, a decline of 7% as compared to the same period in the prior year.  Net Revenue excluding passthrough costs declined 3.8% year-over-year to $535 million. Organic net revenue declined 6.8%. Excluding advocacy, organic net revenue declined 4.6% for the period.  Breaking down net revenue by geography, we continued to see strong performance in our international markets. Overall, organic net revenue increased 15% internationally, led by EMEA, which increased 16%, and followed closely by APAC, which grew 14%. In the US, where macroeconomic headwinds, tech company restructurings, and labor strikes in the entertainment and auto industries persisted, organic net revenue declined 9.9%.  Despite macro conditions, many of our largest customers continued to demonstrate resilience. In the third quarter, our top 100 customers, representing approximately 48% of net revenue, grew 18% year-over-year. Although budgets have been compressed to a greater extent by smaller clients, many of our larger clients have continued to invest in marketing spend, supported by the strength of the US consumer.  Now turning to revenue by capability, we have now expanded our reporting to include the Stagwell Marketing Cloud group as a new separate capability. For historical like-for-like comparability, please reference the historical core metrics document on the Stagwell investor website.  Digital transformation delivered $126 million of net revenue in Q3, a decline of 20% compared to last year. Excluding advocacy, which is in an off election cycle year, the decline was 17%. As I mentioned previously, challenging macroeconomic conditions continued to weigh on the capability as customers chose to delay the start of business transformation projects.  From an industry perspective, financials, healthcare and technology experienced the principal reductions in budgets. Financials were impacted by the banking turmoil earlier in the year, while the healthcare decline was largely driven by the lapping of the end of the pandemic, which saw some customers in the medical testing and diagnostic space pull back.  Consumer insights and strategy reported $46 million in net revenue, a decline of 9% year-over-year. Much of the weakness was attributable to the lingering effects of the writer and actor strikes in the second and third quarters. Excluding the temporary impact on our entertainment research business, our consumer insights business grew 4%.  Performance media and data reported $72 million in net revenue, an increase of 11% year-over-year. The strong growth was driven by increased spend in the transportation and travel vertical, which continues to recover from the pandemic. Performance media has been a standout performer in 2023 despite a challenging macroenvironment, posting positive year-over-year growth each quarter.  Creativity and communications delivered $244 million in net revenue in the third quarter, a year-over-year increase of $1 million. Excluding advocacy, net revenue increased $6 million or 3%. This marks a return to positive growth for the capability and continues a trend of sequential improvement throughout 2023.  Stagwell Marketing Cloud group delivered more than $47 million in net revenue in the third quarter, representing a 20% increase over the prior comparable period. $36 million of this net revenue came from our advanced media platforms group and approximately $11 million was derived from our software platform products.  In the third quarter, we ramped up our investment spending in the Stagwell Marketing Cloud by $6.4 million over the prior period as we drive to deliver a suite of self-service products to our clients, enabling them to perform a host of marketing communication activities inhouse.  Now moving to operating expenses and profitability. We have continued to take decisive action to manage costs as the pressures we have previously discussed persisted. Our actions have enabled us to drive our Q3 adjusted EBITDA margins to approximately 19%, back in line with our targeted range of 19% to 20%.  I wanted to take a moment to discuss the more impactful items here. Staffing, our greatest single cost, was the primary focus of our effort. Beginning in Q1, we took steps to reduce our staffing costs as a percentage of net revenue. We have now successfully reduced the staff cost ratio to 63.4% from 67% at the end of the first quarter, an improvement of 360 basis points.  As previously announced, we took action to eliminate $48 million of annualized staffing cost in the first half of the year. Since July, we have taken further actions amounting to an additional $34 million of annualized savings, bringing our total annualized cost savings to $82 million. Our headcount is now about 7% lower than at the beginning of the year.  We will continue to monitor our staffing levels to ensure a strong finish to 2023. We continue to make good progress towards realizing the $30 million of annualized cost savings from synergies announced at the time of the merger.  With the implementation of our global ERP and HR systems nearly complete, in Q3, we began to consolidate our agency's finance organizations to our shared services platform. Based on actions taken thus far, more than $1 million of annualized savings is anticipated. We expect to continue implementing this consolidation across our remaining brands, leading to further cost savings.  As part of our plans to consolidate our real estate footprint to reduce costs and increase collaboration, we have realized more than $2.5 million of annualized savings this year to date, led by consolidation efforts in both London and New York. As a result, we delivered $102 million of adjusted EBITDA in the quarter, representing a 19% adjusted EBITDA to net revenue margin, and paving the way to restoring our adjusted EBITDA margin, 19% to [indiscernible], in line with our previous comments.  As I previously noted, despite the tough macroenvironment, we have increased front spending in the cloud by $6.4 million year-over-year. Adjusting for this strategic investment, our adjusted EBITDA margin would have increased by an additional 140 basis points to 20.4%.  Now moving to the balance sheet, we continue to take actions to improve the strength of the long term financial position. Starting with deferred acquisition consideration, we reduced obligations by approximately $28 million from year-end to $134 million at the end of Q3. We expect to further reduce that by $32 million in Q4. Excluding the impact of our recently announced Left Field Labs acquisition, the year-end DAC balance would be below $100 million, as we previously communicated.  We also acquired 586,000 shares during the quarter at an average price of $4.72 per share for approximately $2.8 million. This brings our total buyback activity to date, inclusive of the AlpInvest transaction announced on our first quarter call to approximately $193 million, representing 30 million shares at an average price of $6.42. Our existing buyback authorization still has approximately $155 million in the remaining availability.  CapEx for the quarter was $8 million, in line with our stated target of 1% to 1.5% of net revenue. As a result, we ended the quarter with cash of $99 million and drawings under our revolver of $412 million. Our leverage was 3.64 times as of the quarter-end, largely driven by the increase in the revolver balance used to finance our share repurchase from AlpInvest earlier this year.  The ConcentricLife disposition discussed by Mark earlier will have an immediate favorable impact on leverage and will bolster the seasonal fourth quarter positive cash trends of our business. Importantly, it will help us to significantly reduce our year-end net debt position to help us achieve our stated goal of reducing net leverage down to 2 times over the medium term. It will also support our ability to pursue strategic acquisitions and investments, in line with our growth strategy.  And finally, moving to guidance, in light of prevailing conditions, we are revising our full-year guidance as follows. Organic net revenue is now expected to decline about 4% for the full year. Organic net revenue excluding advocacy is now expected to decline about 2.5% for the full year. Adjusted EBITDA is expected to be between $390 million and $410 million. And we expect to deliver 40% to 50% free cash flow conversion. And finally, adjusted earnings per share is expected to be between $0.73 and $0.78.  That concludes our prepared remarks for this morning. I will now turn the call back over to Ben Allanson to open the Q&A portion of the call. Thank you. 
A - Ben Allanson: We're going to start with a couple of questions looking ahead. We're going to start off with a question from Jason Kreyer at Craig-Hallum. What gives you confidence that digital transformation will be bound in the fourth quarter and into 2024?
Mark Penn: We've been looking very carefully at those couple of big companies that declared a year of efficiency. And what we're seeing now is that they're reissuing for the first time pitches, contracts. And so, we're seeing those come in now and landing on the desk of our digital transformation agencies.  Plus a lot of them have been holding back while they plan for what kind of AI products that they're going to produce for consumers. And we see that as kind of a next wave coming in next year. But our confidence is primarily based on the checks of what are the RFPs that are coming in and where they're from.
Ben Allanson: Perhaps just following up on that and a question from Mark Zgutowicz at Benchmark about tech investments and rebounds from tech customers, what are some of those signs that we're seeing that gives us confidence in that?
Mark Penn: Again, I think you saw the tech companies, having gone through the year of efficiency, produce pretty strong earnings. You see, as I said before, I think they're going to have to compete now much more in the cloud and in AI products because no one owns those lanes. Again, I think thirdly, some of the companies that adopted as a strategy of pullback and cuts now have the new employees back in place, now have reoriented their mission, and now – we saw one company that cut back from $24 million, $25 million to almost zero and we see the RFPs flowing again really as of this month,
Ben Allanson: Sort of just continuing on kind of the look forward a little bit, Steve Cahill from Wells Fargo, can you talk about the trends in creative and how you're managing through some of that?
Mark Penn: Look, I think, interestingly, creative in some sense is coming back. People are more interested than ever in the Superbowl and in great creative expression. I think what you saw with our purchase of Movers + Shakers is that we're also cognizant that people want more and more online creativity across social media, and that a lot of cost effective marketing is there. And that's where we're really bolstering, particularly TikTok would be the fastest growing advertising medium around.
Ben Allanson: Obviously, some strong net new business trends in the quarter and actually over the course of the last 12 months. Ben Swinburne over at Morgan Stanley has just asked, can you talk about the pace at which you expect some of that net new business to translate into revenues?
Mark Penn: I think that the people now are getting online with it. I certainly see these contracts that we're winning coming online by the beginning of the year, for sure. Some of them will start in this quarter, which gives us some enhanced confidence about the quarter itself. But we do see the last three, four months of new business piling up into a strong next year, which is why I feel as strongly as I do about Q1 2024.  When you look at these new business numbers, these are unprecedented scopes of wins on a consistent back to back basis. When you look at some of the areas here that we've returned to growth, you look at research minus entertainment, you look at performance media, you look at creativity and communications, and you look on top of that this kind of new business showing our position in the business, add to that political and add to that return to really the single area that has been a big drag this year, digital transformation, that's how these things come together.
Ben Allanson: Shifting a little bit to M&A and particularly some questions around the ConcentricLife deal that we announced last week and closed yesterday. This is a question from Barton Crockett at Rosenblatt. It was helpfully accretive and the timing is good given current pressures across your company. You say you're looking at other potential divestments, can you provide some more color on that potential.
Mark Penn: I think that we're looking at probably one more asset about half the size. It will equally be something that nobody ever asked me about in any of the calls. So I think that there'll be – generally surprised at the – again, the value under our hood is really quite tremendous. And our ability then to restore and even take a sale in these double-digit multiples – you obviously take a look at the Concentric at 18 multiple, our ability then to buy stuff at 5, 6, 7 multiples and then grow them is really how tremendous value is built in our assets and should be built in in our stock and outside value appreciation.
Ben Allanson: Geographical expansion has obviously been a key tenet of the M&A approach. Brett Feldman at Goldman asks, getting scale in international markets seems like a key way you can position Stagwell to win larger contracts with your largest customers. What do you see as the most effective path to expanding your presence outside the US, both organically and inorganically? 
Mark Penn: Well, the first thing that we did was really to bring together the existing assets that we had in these regions. They had been really quite scattered. So you really kind of see the double digit growth in Asia after we brought all of our agencies together in Singapore headquarters and put an infrastructure in. In Europe, in January, almost all our European agencies in London will all come together into a physical facility, work together. And then you see the same kind of EMEA growth where they're able to kind of show the true scale of operations there.  We found that's the first path to double-digit growth and really to take existing assets that were not seeing growth and really turn them into double digit growers. I think in terms of investment, we're still looking at Latin America, the Mid-East as in a bit more turmoil at the moment. But we'd like to beef up in those two regions to have a better positioning for large global contracts.  By the way, just to go back to an earlier question. We are seeing a very strong pitch season here in the fourth quarter.
Ben Allanson: Maybe just one final question on political before we hand over to Frank for a couple of questions on the financials. But question from Jeff Van Sinderen over at B. Riley. What are the early reason of magnitude and possible timing of advocacy revenue contribution as we enter the year leading up to the presidential election?
Mark Penn: Well, I think all reads are that this is going to be the biggest spending election in history exceeding $12 billion of expenditures. I think the timing is a little less clear because we don't know what's going to happen in terms of how much activity there'll be in primary fights. Looks like there isn't really a Democratic primary fight. So that'll push some of their spending later. Looks like there may or may not be a Republican fight. We'll really find that out as these contests start to happen in Iowa and New Hampshire. So, I think the crescendo is going to be hit the closer you get to the election. We don't know how much of it will come in in first versus second quarter, depending upon how the primary season works its way out.
Ben Allanson: Maybe just a quick question for Frank here. And this is looking at our free cash flow conversion, a question from an investor, just saying what was the driver of the change in conversion from 55% at the midpoint previously down to 45%? 
Frank Lanuto: I think it's two things. One, it's interest, both a function of raising rates throughout 2023 and also the higher average outstanding balance. We financed the acquisition of a larger share purchase. But this was more of a one-time event. So it's a temporary condition and that should bring interest down in 2024 is our expectation. And then second, we see potentially just some lighter prepayments, perhaps in Q4, and I think that's all it is.
Ben Allanson: I think we're coming to a close here, but one question on a slightly lighter note? Are the blue shirts the new Stagwell uniform?
Mark Penn: They were my uniform at Microsoft and they're my uniform here at Stagwell.
Ben Allanson: Good stuff. Well, that brings our third quarter earnings call to a close. If you have any questions, please do feel free to reach out to the IR team over here at Stagwell. And we look forward to chatting to you early next year for our fourth quarter.